Operator: Greetings. Welcome to the Polaris Renewable Energy Fourth Quarter and Year-End Earnings Call. [Operator Instructions]. I will now turn the conference call over to your host, Anthony Jelic, CFO at Polaris Renewable Energy. Sir, you may begin.
Anthony Jelic: Thanks, Holly. Good morning, everyone and welcome to the 2022 Q4 and year-end earnings call for Polaris Renewable Energy. In addition to the press release issued earlier today, you can find our financial statements, MD&A, annual information form and annual sustainability report on both SEDAR and our corporate website at polarisrei.com. Unless noted otherwise, all amounts referred to, are denominated in U.S. dollars. I'd like to remind everyone that comments made during this call may include forward-looking statements within the meaning of applicable Canadian securities legislation regarding the future performance of Polaris and its subsidiaries. These statements are current expectations and as such are subject to a variety of risks and uncertainties that could cause actual results to differ materially from current expectations. These risks and uncertainties include the factors discussed in the company's annual information form for the year ended December 31, 2022. I'm joined this morning as always by Marc Murnaghan, our CEO. At this time, I'll walk you through our financial highlights. Power generation. Consolidated power generation for the 12 months ending December 31, 2022 and 2021 were 649,756 megawatt hours and 643,523 megawatt hours respectively. These production figures are net of all plant downtime, both planned and unplanned. With respect to Nicaragua, we saw total megawatt hours of 113,189 in the fourth quarter of 2022 versus 113,395 same period last year. In Peru, total megawatt hours in the fourth quarter of this year was 39,923 versus 49,147 in the same 3-months period last year. As well, in our newest acquisitions in the Dominican Republic and Ecuador, we realized fourth quarter production of 14,139, and 6,9469 megawatt hours respectively. Revenue. Revenue was $16.9 million during the 3 months ended December 31 compared to $14.9 million in the same period last year. This increase was the combined result of higher effective PPA prices applied to our Peruvian facilities and the additional revenue from the facilities in Dominican Republic and Ecuador acquired in the year, partly offset by lower production in San Jacinto, Nicaragua. In addition, the company sold $0.9 million more in carbon credits in 2022 compared to 2021. Revenue was $62.6 billion for the full year compared to $59.5 million in the same period last year. Net earnings. Earnings attributable to owners was $2.5 million for the 12 months ended December 31st compared to $0.5 million earnings for the same period in 2021. This increase was the combined result of higher operating margin and the deferred tax benefit driven by the foreign currency impact in our Peruvian assets, partly offset by higher finance costs and lower gains compared to year 2021. Adjusted EBITDA. Adjusted EBITDA was $44.9 million for the 12 months ended December 31st compared to $43.8 million for the same period last year, principally as a result of higher operating margin discussed above. Cash generation. Net cash from operating activities for the 12 months ended December 31st of $33.5 million, lower than the $41.1 million for the 12-month period in 2021, mainly due to an unfavorable change in noncash working capital, due to a larger accounts payable balances settled during the period and accounts receivable collection returning to normal levels compared to the same period in 2021. Net cash used in investing activities for the 12 months ended December 31st was $66 million compared to $10.1 million in the same period last year. Due to $32.4 million spent in the acquisitions closed in the year, coupled with $29.1 million spent in the construction of the binary unit in Nicaragua and the Vista Hermosa Solar Park in Panama. Net cash used in financing activities for the 12 months ended December 31st of $30.1 million compared to $6.9 million net cash from financing reported in the same period last year. In 2022, the company refinanced PENSA senior debt and made higher dividend payments, whereas in 2021 we received $39.4 million in proceeds from share issuance. And finally, dividend. I'd like to highlight that we've already announced we'll be paying a quarterly dividend on February 24th to $0.15 per share to shareholders of record of February 13th. With that I'll turn the call over to Marc who will elaborate on current business matters as well as on our year-end results. Thank you.
Marc Murnaghan: Thanks, Anthon. So first I'll just start with some color on the Q4 numbers. San Jacinto was in line with our expectations, actually flat with Q4 of 2021. Peru and Ecuador was, call it the negative impact of hydrology. The rainy season just started later. Usually, it gets going in sort of November and really starts going in December. It really didn't start until early January this year. So that impacted the numbers in Q4. On the revenue side I'd say it's around $650,000 impact there for both Peru and Ecuador. Plus, we did have a little bit higher cost, I would say, more of a timing issue that landed in Q4 in Peru. So you get up to around about call it variance for Peru and Ecuador there, which would get that, call it adjusted EBITDA closer to 12.5% which is -- which would have been what we were looking at. The Dominican Republic was essentially in line. It's been lower, but essentially in line and in EBITDA of exactly what we were looking at there. So very happy with that. So that's sort of the Q4 commentary. But given the acquisitions in the binary unit, I think we're set up for a very good 2023 relative to 2022. On the binary unit, as we did already announce it was really started production December 30th, fully operational December 31. Ending cost in terms of total capital was $26 million versus the $25 million. So sneak above due to some logistics issues, smaller parts and supply chain and transportation continues to be an issue. But we're very happy with that result given the overall economics and the environment. So that is online which is great. In terms of Peru, as I mentioned, hydrology was low in Q4, but has been strong so far this year. So we're actually running at or a little bit ahead there this year or year-to-date. So that's good to see. We also expect on May 1, another price increase because the contracts improve our full, call it U.S. CPI indexation. We're already -- so it goes from May 1 to April 30th, and that industry is already at 4.6% and you need it to be 5%. So only 0.4% is needed in the next few months. So that's -- it's essentially guaranteed. So we think that we'll get another price bump of 5% to 6%, probably closer to 6% starting May 1. And we do think we also -- we should see some minor cost efficiencies or cost reductions this year in Peru. So call it good margin expansion in Peru this year. Moving to Panama. We have called it Vista Hermosa Solar, so just in terms of the nomenclature. We anticipate mid-March ready. Literally 2 components necessary for the interconnection on our side of the fence, so to speak, have caused the delay that the plants are basically done, installed already and we just need this interconnection equipment. So that's looking like mid-March. Budget essentially remains the same though. We haven't had any cost overruns there. So budget the same a little bit later. And what I would note though is that the pricing in Panama has been quite strong. It remains stronger than what we would budget. So we're hoping to make up some of that lost time in terms of the numbers for this year once we put it online next month. In terms of other projects, we have a small battery project. It's only a $500,000 battery project, but that's in Peru which we will be starting in the second half of this year, which is an interesting project. But we think that's about a 3.5-year payback there, which we'll be funding from cash flow from operations. At the site in Ecuador, San Jose de Minas, we are initiating works next month on the expansion there. It's a brownfield expansion. It's again, not a huge project. It's only about $3 million -- $3 to $3.5 million. But that should increase our revenues and cash flow by about $800,000 a year. So again, call it a brownfield existing site, but high return on capital project that we will be starting next month. In terms of the Dominican, we did receive the definitive concession for the expansion at our solar plant there. So we call it Canoa 2 is what we're really keen to get going on. We signed that in December, there's been back and forth in the PPA. We think we're in at the 11th hour of that negotiation and that the PPA should be signed imminently. And even some very small sort of site prep we've already started that. But -- so the minute we signed the PPA, we can get going on construction and we would expect sort of a 12 to 14 month time to complete that. And so, that would be sort of -- that's about a $25 million, $30 million project. Again, where our view would be that we would fund the equity out of cash flow for that expansion. And then the last, call it project I'll mention heret would be -- we have been working with technical consultant for the San Jacinto project, the geothermal project and they've identified a few wells that produce -- production wells that they think we can do some asset jobs on to improve permeability. And we think these are really good shots on that because there's about $500,000, $600,000, $700,000 per well and again not big drilling CapEx. But we think we would do 2 this year and we think that the outcome there is something in the 2 to 5 megawatt range. Obviously 0 is possible, but 2 to 5 megawatt range is what we're targeting and we know of other sort of projects that have done the same thing and achieve the same results. So that would be almost a $2 million to $5 million pickup on that type of CapEx. So high impact. We wouldn't be able to start that though realistically until July, probably just because the lead time in getting these types of assets to site, but we're quite excited about that. So all of what I'm mentioning there is within our cash flow, within our budget, call it, we don't need to raise capital for that. And I think one thing that's important to note is that these are -- Canoa 2 is an expansion and a new project. But these are all, what I would call high -- sort of low-hanging fruit, high-return projects at current sites, current operations. And we think, in this environment where rates have risen dramatically, which has had an impact on the industry that, we -- first and foremost we need to focus on, call it, current projects -- current operational projects where there are very good high return and much lower risk expansion projects. So those are, call it all on the docket for this year. We do have other projects like the Chuspa hydro project in Panama. We have other projects in Panama on the solar side that we are quite interested in. And we're moving those, I would say in parallel with capital alternatives because to do those, we would look to raise some capital. There's also lots of other projects and acquisitions that are in the hopper. I think for those we're really trying to marry up the fact that rates have risen and making sure that you can get that out on the other end on the equity. And it is a bit of a -- it's just -- it's a balancing act right now because off-takers aren't sure if rates are going to stay high forever and neither are developers. But -- so in my mind, it's just a -- it's a question of marrying. We just need to make sure that the borrowing costs are going to be higher that we're getting that much out on the other end. And I definitely think that's possible. I think one of the -- I mean, we've already gotten term sheets on Canoa 2 for instance and those are quite frankly better than we expected. So that looks good. And for us, given that as a company, we have a very long contract life and we're 100% contracted, except for the Panama which is coming on which is only about 2% of our global revenues. So highly contracted with a long contract life and that we only have, call it, 3x debt to EBITDA. So we are going to explore some other opportunities to be able to go after more of these projects, like the ones I mentioned in Panama and/or other opportunities which we -- these rising rates definitely are impacting other developers. So we actually see the opportunity set going even higher for us. It's just -- there's probably been a bit of a lull here given in the last 3 to 6 months in terms of a little bit of a pause. But we actually think that there's going to be a bit of a shakeout. And so we think we're going to be able to take advantage of, call it, relatively undelivered balance sheet to go after some more of these opportunities. And even if it might be the back half of this year where that all shakes out. But we absolutely see that in the hopper and we really hope that we can take advantage of that. So that sort of concludes my remarks. So we can open up for questions now.
Operator: [Operator Instructions]. Your first question for today is coming from at National Bank.
Unidentified Analyst: So with the binary system, can you give us a little more color on how it's operating so far and what's the outlook for operations? How should we model this as far as capacity factors and maybe your maintenance costs and maintenance downtime going forward?
Marc Murnaghan: Yes. So in terms of costs, we see about an extra $400,000 to $500,000. It's mostly just chemical treatment. That's really our bump up in operational costs and I can even get into some more details on how I would model the op cost. But the way that I would model, call it, the revenues is typically, call it, 10 megawatts net. But if you take -- I model about , Rupert, just for some downtime and maintenance, right. And then in terms of the steam we look at sort of anywhere from net . It really depends. We did net 50 all of last year. And so if you take a 3% to 4% decline from that and 9.5% for the binary unit, that's I think at a very high level how I would do it, If that makes sense. And then, and as I said, you need to add some op costs there, call it, $400,000 to $500,000 for chemicals.
Unidentified Analyst: And I may have missed this, I apologize, but on Canoa 2, so once you have a PPA signed, you're ready to move to construction. What do you think is the timing on that? What's the outlook for getting a deal done in order to hit that COD of I think Q2, 2024 you're looking at?
Marc Murnaghan: Yes. I mean, I really think we're within 30 to 45 days. I think, as long as we signed that in Q2 we can hit the Q2 2024 target, because we're -- things are, call it, progressing enough that -- and we have enough comfort that we can do some of the longer lead items and get that going now without expending a lot of capital.
Unidentified Analyst: And with the supply chain issues that we have seen, it seems you have some certainty on the costs. You're comfortable you'll be able to get quite attractive returns on this with the terms you might be able to achieve for the PPA?
Marc Murnaghan: Yes. I mean, we're interestingly I would say on the big stuff. The panels and inverters are better than we would expect, which -- our pricing is better than, for instance the Panama solar, we did which -- we were happy with those panel prices that, we're seeing even 15%, 20% lower than that. So we're not worried about the big items at this point in time. So that we did contract, let say in the next month, we would absolutely look to walking those panel and inverter prices because they're very attractive right now actually. And we didn't even have any logistics issues on the big items in Panama and we would expect the same that there. It's just that there's -- we do still see issues on these smaller items where you're -- it's not the $5 million panel purchase. It's a $50,000 pump or piece of electrical equipment where it's hard to have, call it, massive liquidated damages in these contracts where, if they don't deliver there's huge penalties. You really can't do that on the smaller. So I don't see really budget issues. It would just be making sure we can hit the time lines, would be our bigger issue. But then if we are happy with the capital cost, which I really think we will be, then we're going to be getting those returns in the mid-teens for sure.
Operator: Your next question for today is coming from Nick Boychuk at Cormark Securities.
Nicholas Boychuk: Just sticking with Canola 2, I'm curious if you could give us any update on the battery energy storage update in the Dominican market and what the outlook for adding that type of an additional capacity would be?
Marc Murnaghan: So we are expecting more prices to be published in the next 2 weeks as well where last year they did a report which included energy storage prices. We are expecting a revision of that. It's actually -- the revision we are expecting is much more on the solar only price to include the fact that interest rates have gone up. So we are expecting an increase year-over-year from what they're -- they are sort of publishing is the guided rates and then they will add on top of that the storage. So we are expecting that, and that should provide a bit of guidance. What we do know is that they -- it's more acute because they -- we're not the only one. They're going to sign several contracts on the solar side. Their spot prices are very high in the country. It's an 82% fossil fuel-based grid. So it's really expensive. That's why they want more solar, but they're going to be limited and they're now kind of -- they're even more cognizant of the fact that if they bring on, let's say, 5, 6, 7 solar projects, that should really reduce their cost of energy, but there's not as much as it really should because they need some storage. And so the issue for us is -- with everybody is telling us is let's nail this, call it, second phase down, i.e., Canoa 2. But also knowing that they're negotiating with other groups. They want to get all of those contracts signed in the next month and then it's going to be sitting down and talking about the storage aspect. So I can't -- I need -- we need to get Canoa 2 going, but then we do know that immediately thereafter the conversations on the stores are going to start and we're ready for that. And I think these are conversations that could be at very high levels because it's going to become a strategic priority. It's just that they got to get these other contracts signed and going first. So with that, it's hard for me to give you really definitive time lines. I think it would be more that this year is going to be a year of positioning and potentially getting into contract negotiations. But in terms of -- and we would really hope that, that can actually, in terms of total scale for us, be very relative and very material. And so, I would say this year we're hoping to really define all that. That would be my goal, is that we really know what the opportunity is there in terms of total. Because we do think there's going to be more to be done outside of just, call it, Canoa 3 which is some solar with storage. We think there's going to be more to do on the island in that and we really want to position ourselves for that.
Nicholas Boychuk: And then next to look asset, Chuspa. Any update you can give there in terms of what brought that back into the picture and why you're confident with the Q4 '24 expected COD?
Marc Murnaghan: Yes, I would just say that it's more that -- it's kind of always been there for us. And we had to, I would say get local support really from a social perspective and from the municipality, that -- it was an issue that the prior people ran into and they would admit they didn't do a very good job on the social. And we've been doing a lot of that. But we need to make sure that not just the community, but also call it the leaders of the municipality were on board. And so if we kind of launch that, it's because of all the work that we've done on the municipal relations and the social or the community. So that's really been the big change I would say.
Nicholas Boychuk: So in terms of PPA though, nothing signed in thatâ€¦?
Marc Murnaghan: No, there -- so there is a PPA that exists on that project. But it's one that -- it would only go to 2027. So it's not based on COD. It's just -- it started. And if you build it, great. But so -- but what would be interesting for us is that, to the extent we move forward while we're in construction, we could use some of those -- that we could use a PPA for the solar if we wanted to, although the market is higher than that right now, but we would be able to combine that. So that's the other thing is we do see benefits of combining the solar with the hydro in Panama.
Nicholas Boychuk: And then your comments around kind of M&A strategy and how you could lever the balance sheet were pretty interesting. Can you share any more details on how that sort of structure might work within the balance sheet? What type of facility you'd be considering and the potential magnitude of that?
Marc Murnaghan: Yes, and this is where I would say it's just,et's say, 3x growth, a little bit less net debt to EBITDA with a contract life. I don't see us going to 6x. But could we go to 4, I think so. There's -- and to add new projects into the mix. So we're looking at several things, but it would be more just to give you -- just think of a node or a bond that we could corporately raise to look at going after more projects. I think that's absolutely something we're going to look at doing. And we think even with sort of the fact that rates have risen, we can make these projects work and that the returns are there and then some on the other end. So that's a -- you do need to do it in parallel, right? We need to sort of have that and the projects. And that's what we're in right now which is trying to marry up those 2 things. And it's sort of that -- I would say in the next 2 to 3 months we hope to have that sort of line up whereby we've got the projects on the one side, capital on the other. And that would -- in terms of projects when I mentioned that I am referring to, let's say, Chuspa and some of the solar panel. But there's also -- there's a whole bunch of other acquisitions of assets anywhere from $2 million to $10 million of EBITDA that are out there. And we are having these conversations. It's â€“ some of these private owners, if it's always just a game of -- are there expectations sort of in line with current market, right? But there's enough for them. We feel like we have enough of them in the pipeline that we'll land on. We'll land on some for sure.
Operator: Your next question is coming from Devin Schilling at PI Financial.
Devin Schilling: You mentioned that the rainy season in Peru has kind of kicked off in January here looking to be at kind of historical levels. Is that safe to assume -- or sorry, I assume tha,t that's the same with Ecuador?
Marc Murnaghan: Yes. That's correct. But I know it's only, whatever February '20, but sort of year-to-date we're sort of at, or as I said, the snick above budget on that.
Devin Schilling: And then Panama with the solar project, you mentioned a few delays in some small components. Is there any outstanding approvals still that we're waiting on for that project as well or is it really just these 2 components?
Marc Murnaghan: We have -- it's a good question. We have the interconnection agreement already. But you do need the local authorities to make sure that you've done it in technically appropriate way before they allow you to actually put the electrons on the grid. So technically speaking, we do need something -- although we don't really expect that to be an issue whatsoever. But they just need to go through the process. We need to finish, which we would hope next week to the actual site, and then the authority does their work which is like -- should be like a week.
Devin Schilling: And the remaining components, they're all in country and ready to go?
Marc Murnaghan: No, one of them is still in Colombia. But it's supposed to be shipped out next week.
Devin Schilling: And then I guess lastly here from me. You mentioned the small battery project that you guys are adding to your development pipeline here. What's the size of that project for CapEx and expected requirements?
Marc Murnaghan: Yes, it's very small. It's like $400,000 to $500,000 CapEx. And we would -- we're looking at about $120,000 to $150,000 annual increase in cash flow, so. So 3.5-year payback.
Operator: Your next question for today is coming from Gabriel at IA Capital Markets.
Unidentified Analyst: On the carbon credit sale, are you still expecting to do about $1 million this year and do you have any information about the run rate revenue for the carbon credits?
Marc Murnaghan: I think that's a good number. It is quieter right now on the carbon credit front, just given inflation and people in the voluntary market really paused. But I'm -- so I think it's going to be more back half weighted and we have about $500 million to $1 million revenue number in mind on the carbon credit front, although that would not be like what I would call a run rate because our carbon credits can be inventoried. And so we're -- in terms of what we have sort of fully verified is around $300,000 by midyear -- annually. By midyear which that number should be, call it, $350 to $400 million let's say. And we have seen prices in the USD 3 to USD 4 per ton, recently for our type of credits. But volumes are just pretty low right now. So we're just going to have to be sort of opportunistic. And if I would -- my guidance on that would be -- we really wouldn't look to do much in the first quarter, but probably start looking to do more in sort of Q2 and Q3.
Unidentified Analyst: And about in Ecuador, San Jose de Minas,, have you been able to progress in the negotiation to acquire the minority interest you don't own in the project?
Marc Murnaghan: No, they -- we could do it at any instance. It's not about negotiating and we've got -- we know sort of what the cost is going to be. So we're not -- for us it's more -- we want to -- we need to get this expansion project done first before we're going to do that. Because we're really in sort of investment mode, finish that, and then we'll look to do the minority.
Operator: Your next question for today is coming from Dave Kammermayer at Clarus Securities.
Stephen Kammermayer: Hey, guys it's Steve.
Marc Murnaghan: Hey, Dave -- I'm sorry, Steve.
Stephen Kammermayer: Just back to the binary in here, just following the production year-to-date. It looks like you've run it as high as just north of 12 megawatts. Is that just for commissioning purposes and then it's going to settle out around 10 megawatts, or do you think you can get a little bit more out of that going forward here?
Marc Murnaghan: Well, we have, Steve. But it's like you can't really -- we don't think you should be budgeting for more than what I said because you are -- we are going to have some downtime, right? So for instance, when we do our major maintenance, you're going to have a few wells offline. And so we won't have enough brine to keep it at that 12%. It would drop below. So it's not that we can't. And we -- yes, I mean, I think the last week we've been higher than the 10% on the factual binary unit. On average quite close to 11%, something like that. But I still think from an average perspective it's better to buy -- at least we're going to budget the 9.5% for the year.
Stephen Kammermayer: And then just on the wells there. I mean, it looks like the variance has been a little higher than normal. Do you think any of that could be attributed to the binary unit coming on and maybe having some cooler water injected back in or is that just normal variance of those couple of wells?
Marc Murnaghan: Yes. So important question. For sure not cooling effect in the sense that what we have been trying to do on our -- what that variability has been 100% related to some changes in the injection system that we made, that we thought would actually improve because what we've been doing the last year which worked we thought very well in Q4 was very stable. It was doing as much outfield injection as possible based on recommendations from our technical consultant really was working. But there's only so much that we can do or we could do before we put the binary on. And then interestingly when you put the binary on, your actual temperature of injection water does go down. But that means that you could -- so one of our biggest injection well, which takes about 2/3 of all injections. It's called 112, it's in the north and it really has no connection with the field or if it does it takes sort of 6 months to get there. So that is the most [indiscernible] field well we have. When your brine is colder, you can actually inject more. So we increased the load out field for exactly what you were referring to, or what the concern might be. One, which is the lower temperatures. So the more we can push out, feel the better. But also just to improve in the field as a whole which has been happening based on the strategy we had. So we were able to send sort of even more brine outfield. But that did cause some instability in some of the wells in January and early February. So we've gone to sort of back to half of that and it's -- we're back to very similar levels to where we were in Q4. So year-to-date we're sort of 57 net debt total with the binary. Last week we're like 59, 60, something like that. So I would say the stability has returned and it's just something we're going to continue to manage. But I would say for the full year, the numbers I gave, I would still -- we're still on those numbers.
Stephen Kammermayer: Just one other quick one. When is the major maintenance scheduled for 2023?
Marc Murnaghan: It's not. We're going to do January of 2024. So we've decided to move to more to 18-month cycles given the number of maintenance jobs we've done and we've never had any issues with the turbines. So consultation was . Everybody agreed that we can go to 18-month cycle. So the next one is going to be January of next year.
Operator: Your next question is a follow-up question coming from Nick Boychuk.
Nicholas Boychuk: Quick follow-up on the Ecuador market. Just curious, Marc, in prior commentary you've got the bids that could be entered sometime in March for those additional hydro projects. Any additional information you can share on that process and how that market shapes up?
Marc Murnaghan: I don't really have any updates on that, Nick. I don't -- we are supposed to hear on a call or another tender. It just hasn't -- it's been quiet year-to-date so far. So I don't really have much on that what the timing will be.
Operator: There are no further questions in queue.
Marc Murnaghan: Okay.
Operator: There are no further questions.
Marc Murnaghan: Okay. Thanks everyone for joining.
Operator: This concludes today's conference call. You may disconnect your lines at this time, and have a wonderful day. Thank you for your participation.